Operator: Good morning and welcome to the Innodata’s Third Quarter 2015 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Amy Agress. Please go ahead.
Amy Agress: Thank you, Orlando. Good morning, everyone. Thank you for joining us today. Our speakers today are Jack Abuhoff, Chairman and CEO of Innodata; and O’Neil Nalavadi, our CFO. We’ll hear from O’Neil first, who will provide a detailed review of our results for the second quarter, and then Jack will follow with additional perspective about the business. We’ll then take your questions. First, let me qualify the forward-looking statements that are made during the call. These statements are based largely on our current expectations and are subject to a number of risks and uncertainties, including without limitation, that contracts may be terminated by clients; projective or committed volumes of work may not materialize; our Innodata Advanced Data Solutions segment, IADS, is a venture with minimal revenues that has incurred losses since inception and has recorded impairment charges for all of its fixed assets, we currently intend to continue to invest in IADS; the primarily at-will nature of our contracts with our Contract Services clients and the ability of these clients to reduce, delay or cancel projects; continuing Content Services segment revenue concentration in a limited number of clients; inability to replace projects that are completed, canceled or reduced; depressed market conditions; changes in external market factors; the ability and willingness of our clients and prospective clients to execute business plans which give rise to requirements for our services; difficulty in integrating and deriving synergies from acquisitions, joint venture and strategic investments; potential undiscovered liabilities of companies that we may acquire; changes in our business or growth strategy; the emergence of new or growing competitors; various other competitive and technological factors; and other risks and uncertainties indicated from time to time in our filings with the Securities and Exchange Commission. We undertake no obligation to update forward-looking information, and actual results could differ materially. Thank you. I will now turn the call over to O’Neil.
O’Neil Nalavadi : Thank you, Amy. Good morning, everyone. Thank you for joining us today to review our third quarter 2015 financial results. Total revenue in the third quarter was $15,130,000 million which was a sequential growth of 8% from $14,060,000 in the previous quarter. This $1.1 million growth was mainly in our Content Services business. Content Services revenues increased to $13.5 million this quarter, from $12.4 million from the previous quarter. We had higher volumes in several one-time projects, including $600,000 from e-books from a key customer. This growth does not include any substantial ramp up in the large European projects we won last year. Moving over to IADS, revenues were $500,000 this quarter, compared to $550,000 in Q2. DocGenix revenues were lower by $30,000 and Synodex revenues were lower by $20,000. Our Media Intelligence business reported a 3% increase to $1,180,000 million compared to $1,150,000 in Q2. MediaMiser added eight new customers this quarter, a record since our acquisition. And after netting up contract terminations, we ended the quarter with 119 customers on our MediaMiser platform, compared to 112 at the end of Q2. We continue to maintain a retention rate in excess of 90%. Let us now look at our gross margins. Higher revenues combined with higher employee productivity and currency benefits fueled out gross margin expansion to $4.6 million or 31% of revenues from $3.1 million or 22% of revenues in Q2. On a segment basis, gross margin in our content services business was $4.6 million or 34% of revenues in Q3, compared to $3 million or 25% of revenues in the previous quarter. These margin figures are after absorbing labor costs in excess of revenues of $200,000 for some other projects within our large European deal we announced in 2014. Moving over to other segments. In IADS, losses were $500,000 this quarter compared to $450,000 from the previous quarter. And in our Media Intelligence business, gross margins increased to $550,000 or 47% of revenues this quarter compared to $470,000 or 41% of revenues in the previous quarter. Excluding acquisition related amortization expenses, gross margins in Media Intelligence trended higher to approx 57% in Q3 from 53% in the previous quarter. We continue to reign in our selling, general and administrative expenses, which were lowered at $4 million this quarter compared to $4.3 million in the previous quarter. As a percentage of revenues, SG&A trended down to 26% compared to 30% last quarter. On a segment basis, expenses were lowered in content services by $200,000 at $2.8 million and they were also lower by $100,000 in IADS at $350,000. Expenses in the Media Intelligence segment remained consistent at $850,000 in both quarters. Higher gross margins of $1.6 million and lower SG&A expenses of $300,000 helped in turning around our $1.2 million pre-tax loss last quarter to pre-tax earnings of $750,000 this quarter. The change was primarily in our Content Services business, which reported pre-tax earnings of $1.9 million this quarter, related to $100,000 in the previous quarter. In the IADS segment, pre-tax losses were approximately $900,000 in both quarters. Media Intelligence reported pre-tax losses of $150,000 in the current quarter, compared to $250,000 in the second quarter. These figures exclude amortization -- acquisition related amortization expenses of $150,000. Moving down to taxes, our tax expense this quarter was $450,000 compared to a tax benefit of $250,000 in Q2. The income tax expenses related to our overseas subsidiaries and their earnings and the tax benefit last quarter was due to a successful resolution of two income tax disputes in India pertaining to prior years. After adjusting for tax expenses and minority interests, net earnings this quarter were $400,000 or $0.02 per diluted share compared to net losses of $800,000 in the previous quarter. Let me now review our adjusted EBITDA and cash flows. In Q3, our adjusted EBITDA increased to $1.7 million, from a $200,000 loss in Q2. Our adjusted EBITDA was a net result of $2.7 million EBITDA in Content Services, offset by losses of $900,000 in IADS and $150,000 in Media Intelligence. I will now review our balance sheet. We had cash and investments totaling $24.9 million at the end of Q3, compared to $23.7 million at the end of Q2. Of this, approximately $2.1 million was held at the U.S. and the rest was held overseas by our international subsidiaries. We generated $1.8 million of cash this quarter, compared to $1.6 million of cash used in operations last quarter. At the end of Q3, our accounts receivables trended lower by $700,000 to approximately $9.1 million which in terms of day sales outstanding averaged at 62 days this quarter, compared to 66 days in Q2. CapEx was again light this quarter at $200,000. In addition, we incurred capital expenditures of $200,000 in Synodex which were funded through operating leases. Looking ahead, we expect CapEx to be in the range of $300,000 to $500,000 in Q4 2015. I will now turn to currency changes and our foreign exchange hedging program. At the end of the third quarter we had $19 million in outstanding forward contracts to hedge our overseas exposure for both revenues and expenses. In Q3, on an average basis, the US dollar gain between 1% and 2% against the Philippine peso, the Indian rupee and the Canadian dollar and it lost 2% against the euro. Based on mark-to-market, this resulted in a $300,000 notional loss on our outstanding hedges. According to the accounting policies we recognize only loss and gains on mature contracts in the income statement. Let me now review our guidance for Q4. We expect revenues to be in the range of $15.1 million to $15.7 million. These segment wise breakdown is, Content Services in the range of $13.4 million and $13.7 million; IADS between $600,000 and $800,000 and Media Intelligence between $1.1 million and $1.2 million. This quarter’s performance gives us a pretty good sense of our breakeven point, which is around $14.5 million to $15.5 million in quarterly revenues. Thank you and now I’ll pass the call over to Jack.
Jack Abuhoff : Thank you, O’Neill. Good morning, everyone. Thank you for joining us at this time. O’Neill has just provided a detailed financial revenue of the quarter and our revenue outlook for Q4. I will now provide some additional insights into the business of each of our reporting segments, and I will begin with Synodex decision of IADS. In Synodex, as we have discussed in our recent calls, our focus here has been on acquiring clients for our version 3 APS.Extract product which we launched late in 2014. Regardless of whether we provide APS.Extract as a service or we license its underlying technology platform, we are generating recurring revenue which is strategically importance for us. We internally estimate the value of recurring revenue contract or reward based on what we anticipate its revenue will be in a consecutive 12 month period after ramp up. We refer to this as Annual Contract Value or abbreviated ACV. Now it’s important to bear in mind that ACV is an estimate only, based on information the client or prospect shares with us, but actual revenue will often vary from our estimates either up or down based on actual [indiscernible]. During the past three months, we have booked or been awarded an additional $1.5 million of new annual contract value, bringing our total booked recurring revenue to approximately 6 million of annual contract value. The contracts that underlie these bookings, have terms ranging from one year to five years, but we expect them to be recurring. We just recently won a vigorously contested RFP to become the chosen provider for life insurance company that is ranked as one of the largest in the U.S. This win is strategically important because it underscores the strength of our data driven solution and insurance underwriting. The company is going to start with a one year contract for about 13% of their volume. We will work hard to ensure that they get the value add of that they anticipate which should need less to expand their accounts. At full requirement, the client has potential to be worth in excess of $6 million per year revenue with their life insurance division loan and then there are other divisions that we may be able to penetrate as well. Our strategic priorities for the Synodex business are; one, ramping up the clients whose business we’ve been awarded; two, advancing a priority pipeline of new act of prospect with whom you see near term bookings to be likely; and three, continuing to iterate our product. I’ll start by addressing the first priority, ramping up clients whose business we’ve been awarded. This involves analyzing data and reporting specifications, taking our systems to our client systems and resolving any client dependencies, such as software or hardware handshakes. Getting this done can take longer than expected, making it hard to forecast revenue in a particular period. And to illustrate this, last quarter at this time, I predicted slightly higher Synodex revenue this quarter, but a couple of clients took a little longer than anticipated to get their systems ready. But here’s the important thing, while revenue is of course the end game, the revenue will come even if it takes a little longer than planned, so long as we continue to get awarded the business and continue to sign new deals. On the subject of ramp up, after many months of integration work, we successfully launched John Hancock just last week. As you may recall, John Hancock from the world’s most prestigious life insurance companies announced in April that it would be strategically partnering with us, utilizing our services and licensing our technology platform. The launch was a great success and highly celebrated within Hancock. You can expect a formal announcement of the launch in the next several weeks, but I thought I’d share the success with you today. Our second strategic priority, second only to ramping up contract awards is securing new bookings from a priority pipeline of active prospects that we think we have a good chance in closing in the near term and cultivating new pipeline. Some clients move slowly through the process, others move faster. There are a number of clients we can use to illustrate slow movement, but I now have an example of brand new clients who broke the record for fast. Just last week, we received an e-mail from the companies stating that it has decided to move its requirements to us based on our reputation in the market and on a single meeting that we had with them just recently. It’s a great to see that the word is getting out and that we’re developing a solid reputation in the market. We’re hopeful that this kind of short sale cycle is a [inaudible] of things to come, then indeed as a life insurance veteran once told me, the industry may be slow to lead but it’s fast to follow. In terms of our Synodex related loss this quarter, once we are ramped up on our current bookings and awards, this loss would decrease to about $200,000. It would take another 1.5 million to 2 million of bookings that then convert to revenue to get us to break even. The exact number will be a function of how aggressively we are hiring and training new staff. We’ll continue to dial up and down based on what we are seeing in the pipeline. Now on the DocGenix product side, we continue to see interest from prospects in our new release of DocGenix Analytics. We’re also seeing interest from an existing customer in incremental add on and services. We’re on schedule still for 2015 release of DocGenix CREO, the companion platform for analytics which will be used by clients to generate new financial documents. Taken together, DocGenix CREO and DocGenix Analytics address the entire financial document lifecycle from document generation through archival and search, all while providing digital data to downstream systems that measure risks and manage collateral. Now we think our timing is good here, because banks and hedge funds are facing a whole new set of regulatory requirements regarding collateral for derivatives contracts. These new regulatory requirements primarily referred to as Basel III will start to take effect in September 2016 and will continue to be phased in through 2019. Now if you’re a bank or a hedge fund, the problem you face under these new regulations is that the collateral you post will no longer be a matter of private negotiation. Instead, it will determined by the regulators and they are going to be making you go through a lot of proofs[ph] that could mean having a lot more of your assets, cash and securities, tied up as collateral. So again, if you’re a bank or hedge fund, DocGenix Analytics helps you in two ways, first, it enables you to comply more easily with the data collection reporting rules that are part of the regulations but addition to this, by giving you a strong command of control over your collateral documentation and data will enable you to preserve liquidity to the greatest fixed -- possible as you comply with the new regs. In anticipation of our service resonating well among banks and hedge funds or phase of these new regs, we have started marking DocGenix services through a variety of channels. Our quarterly loss in DocGenix is now approximately $200,000, longer term success will come once we acquire additional customers but in the near term, we will work on driving revenue by providing extension services to existing customers and we’ll work on keeping our costs low. I’ll now turn to our Content Services segments. As O’Neill just mentioned, revenue at the Content Services segment was up by 1 million in the third quarter, based on an uptick in volume from a key e-book customer and several project starts in both new and existing clients. In our last call, I mentioned that we have closed a $4.8 million contract with new client for the creation of the new digital information product. In the past quarter, we completed our project letting[ph] phase and started production for this client. We also made progress executing in an essentially threefold plan. First, continuing to build new technologies that are responsive to client demand for high quality automated digital processing; second, expanding our marketing of our new platforms that we provide the clients on an SaaS basis to drive recurring revenue and third, enhancing both how we engage our existing clients and how we engage new potential clients. Presently, we have a sales organization that is responsible for both managing existing accounts and going after new ones. We believe that by viewing these as separate processes that requires some fundamentally different skills, there’s scope to improve both. As O’Neill mentioned, we made $2.7 million in EBITDA or about 20% in the quarter in Content Services which was absorbing approximately $200,000 in gestational losses on our new program providing end to end publishing services to two divisions for a large European information company, as we’ve had training staff in advancing taking over the work. We are expecting the gestational losses on this program to shrink as we perceive to ramp up over the next few months and to end the year in annual run rate of approximately $4 million. We envision the ramp up to 8 million on this recurrent program to continue through 2016 and into 2017. I’ll now turn to our Media Intelligence Solutions segment which incorporates our MediaMiser and Bulldog Reporter properties. The Media Intelligence Solutions team concluded the quarter with total revenues close to $1.2 million slightly ahead of our internal budgets. On a quarter-over-quarter basis, comparing this year to last, we have grown our Media Intelligence Solutions by 37% on a constant currency basis. In Q3, we booked new contracts in our Media Intelligence Solutions segment valued at approximately $400,000 and added eight net new customers for MediaMiser flagship products. Included in these wins, is a leading pharmaceutical company, a large healthcare services company and a bank. It is gratifying that we are winning business in competitive buying processing on the combined strengths of our technology platform and our editorially enriched analysis services. We now have 119 customers on our flagship MediaMiser platforms compared to 112 at the end of second quarter. To achieve our growth aspirations, we are investing principally in two areas; product development as well as marketing in lead generation. In Q3, in terms of product and lead-gen, we continue to see month to month increases across key leading indicators including web traffic page use and unique visitors, in-bent sales leads and demo schedules and performed. One of the creative marketing techniques for using is to produce some very compelling info graphics and current topics that our analysis teams cover, which we then contribute to major news sources to get our brand mentioned. We are thrilled to see these info graphics reference this quarter, some leading news sources including the Financial Times, Reuters and Business Insider. In Q3, as a result of these new content marketing and lead-gen programs, we had a record 196 sales leads for MediaMiser’s flagship products compared to last quarter in which we set our previous record of 107 sales leads. We also scheduled a record 95 demos, beating the record we set last quarter of 50 scheduled demos. The scheduled demos are over the good mix of large, medium size enterprises, including some Fortune 1000 companies and government entities. Our adjusted EBITDA loss in this segment was $150,000 this quarter, we expect an additional $300,000 of quarterly revenue will enable us to breakeven which we aim to accomplish by mid next year. After that, we expect that the business model will scale with gross margins of 55% to 60% and approximately 30% net marginal profit contribution after investing 30% of those revenues in additional sales and marketing to further accelerate growth. I’ll now open the line for questions. After which, I’ll wrap up with some final questions. Operator, we’re now ready for the questions.
Operator: Thank you. [Operator Instructions]. And we’ll take our first question from Tim Clarkson from Van Clemens.
Tim Clarkson: Hi, Jack. Hi, O’Neill. When I saw that $0.02 profit, I thought that was a misprint.
Jack Abuhoff: Good morning, Tim.
Tim Clarkson: Hey.
O’Neil Nalavadi: We wanted to surprise you, Tim.
Tim Clarkson: Yeah, my wife had asked me, what do you want for your birthday? I said a good report from Innodata.
Jack Abuhoff: Happy Birthday.
O’Neil Nalavadi: And we’ve been working hard at it.
Tim Clarkson: Yes, yes. Well, good job. Anyhow, Jack, could you give us some more color, you were telling me privately about one of your experiences with a life insurance company and how they called you in and started lecturing you about how important this digital data analysis is to the life insurance. Could you give us some color on may be that experience you had and some of the other experiences that validate that you think that you are – that we’re spending money in the right area?
Jack Abuhoff: Sure. Well, Tim I think -- I don’t remember the exact anecdote that you may recall, because there were so many of them. And we’re regularly having meetings where what we’re doing seems very on point. The life insurers – majority have largely certainly have big data initiatives and they are actively thinking about how do they reinvent their business? How do they grow their businesses? And you may see a lot of value in just that big data and looking at digital data, ways of taking existing processes, ways to turn things around quicker, ways to taking the appeal to broader markets and what we’re doing here is really resonating.
Tim Clarkson: As the five customers that you are actually working with Jack, are they starting to get the benefits that you’ve been claiming that are out there?
Jack Abuhoff: They are and one of the most immediate benefits they get is efficiency. They can get their work done for less and one of the immediately following benefits of that is what they call mortality gains which basically means doing a better job underwriting. They’re able to – their underwriters are able to spend a little bit more time in analysis and the digital data enables that. They’re having to do less sort of hand calculations, they’re having to do less fewer look ups, kind of the impairments that they need to think about right there and those have been pre-analyzed in conjunction with their requirements in their underwriting manuals. So it’s having a great deal of benefits immediately. And then it also has those down the line strategic benefits, they get the sea level folks excited.
Tim Clarkson: Right. How about in terms of speed? I mean are you able to get a life insurance deal out there faster than the older methods?
Jack Abuhoff: No, it’s an industry that doesn’t work slow, Tim I don’t know that there is going to be any way to change that, they’re careful, they’re detail oriented and we’re talking about bringing them fundamentally new way of working. That said, as I mentioned a few minutes ago, we had a client who recently closed very quickly and reinvented our notion of what a short sell cycle could be. That’s what largely…
Tim Clarkson: What I mean, in terms of the actual, let’s say I want to get $1 million life insurance policy yeah, and I go through the old process and it takes two-three weeks. I know one of the benefits was that you claim that you can get a finished and declared and on to a salesmen in a lot less time, is that actually happening?
Jack Abuhoff: Yeah, I think that we’re seeing a lot of different benefits, I think that’s one of the benefits of certain of our new initiatives. I think with the existing product and the things that we’re working on, what we’re talking about is some level of shorting net sales cycle just as you said, that’s right. And in addition to that, lowering costs of operations and improving the way that the risk is assessed and in this environment, where interest rates are low, companies are going to make money or lose money not on float but on risk assessment. They see that, they value this new way of working, cycle time just like you’re saying is an important contributor too. So, what we’re seeing is we can appeal on any number of levels and the advantages that we bring end up resonating in large number of these clients.
Tim Clarkson: The five customers that you’re working with so far they feel like they are doing a good job.
Jack Abuhoff: The five customers we’re working with feel we’re doing a very good job. They’re very, very happy with the services they’re getting and the benefits that are driving and that really gives us a lot of fuel for encouragement as we proceed to launch our version 4 this December which even aligns more closely with where they are going and what they like us to be for them. We’ve got a large number of what we refer to as our priority pipeline are people that are kind of waiting for that version 4, have seen the mark ups of it, they get it and they understand it and they said as soon as you have that ready we want another meeting or we want to wrap up with that. Also some of the bookings that we have to date are people that are waiting to start when that version four is released. So they’ve committed on the basis of version 3 but they want to start with version 4.
Tim Clarkson: When will version 4 be ready you think?
Jack Abuhoff: It’s kind of ready now, it’ll certainly be – we’re aiming for the next month or so.
Tim Clarkson: Okay. All right. Thanks.
O’Neil Nalavadi: Thank you.
Operator: Our next question comes from Joe Furst with Furst Associates.
Joseph Furst: Good morning, gentlemen. Congratulations on the progress you’re making, it’s nice to see a profit as Tim said. Getting back to the question that you thought I would ask, I think last quarter you said there was something like 20 to 25 people that you were seriously talking to and about five are in more advanced stages. But it seems like you’ve only been able to close one and the progress here does seems painstakingly slow. And I wondered, could you address that a little bit? Why is it so slow because everybody seems to love the product everything else but you don’t seem to get time contracts, if you could expand on that a little bit?
Jack Abuhoff: In the quarter we signed, as we said about $1.5 million worth of new work and there are three new signings within that but one of them is very, very small. I think in terms of the slowness of the process, that’s something that as I guess mentioned to Tim is, it is characteristic of the industry. We think may be that will speed up as we have customers who are now working on the platform, but we also see is that some of the large customers is probably going to stick their toe in the water first. One of the three contracts we signed this quarter, was signed recently, was with a very large company who likes a lot what they see. They are very excited about it. So they’re going to start by about 13% of their volume this year and then see how it goes. That’s the nature of the business and we’re prepared to work with it. I think we have adjusted our sales process to comply with that, we’ve adjusted our on-boarding process to comport with that as well. The important thing is at the end of the day, what we are bringing on is what we think will be very durable recurring profitable revenue base and that will give tremendous benefits to our shareholders.
Joseph Furst: And you haven’t had the potential clients say no, I don’t care about this, I have no interest, it’s just that they keep going on and on and waiting for the next version and so on. It’s not people saying I don’t have anything to do with this.
Jack Abuhoff: That’s correct. I think in all the clients we’ve talked to, recently in other words, one said I don’t really get that. But they’re a small shop somewhere in the foothills of Virginia or something and things like that. But the big players and everybody else they seem to get it, they like it and I’m predicting that we have more clients coming on over the next several months.
Joseph Furst: Good. Thank you. Keep up the progress. Thanks.
Jack Abuhoff: Thank you.
Operator: And next we go to Edwin Fowler with NBC Securities.
Unidentified Analyst: Good morning, Jack.
Jack Abuhoff: Good morning, Ed.
O’Neil Nalavadi : Good morning, Ed.
Unidentified Analyst: Good morning. It’s nice to see the revenues picking up and a nice profit there. I just have three or four questions that you can update us on. In your transcript which I just finished reading again from last quarter, you mentioned I think it was John Hancock one of the life insurance software but I think I read that there’s several other prospects licenser software. Does this – it helps the clients I guess to keep it in-house, but is it better for Innodata to just give them a software and let them do it or does it allow you to keep tabs on them?
Jack Abuhoff: Sure. So we’re not in a business of keeping tabs on them, but in terms of whether it’s a technology license or a service that we’re providing, they’re both good business for us they’re profitable. John Hancock actually is a hybrid of both service and license. And we see that as a very compelling model, giving lot of value to the people for whom having some of the internal capabilities is a good thing. From a margin perspective, I think we’ll do well in either case and we’re happy to deploy it any way the client prefers.
Unidentified Analyst: Also in the transcript, it was mentioned a pilot program with a new client, to complete in September 2015, how is that going?
Jack Abuhoff: It went very well. They liked very much the results of it, it was beyond their expectations and according to the conversations that we’ve had with them. They’re going to wait for to see what they get with version 4 and then we have meetings scheduled around version 4 to look to bring them up on that.
Unidentified Analyst: And also, it was mentioned in the phase 2 of a proof of concept with a larger tier, is that proof of concept coming to fruition?
Jack Abuhoff: That also went very well and there wasn’t a RFP contest also pretty vigorously contested and we think we are in a very solid position to be awarded that RFP.
Unidentified Analyst: And also with the extraction solution that John Hancock APS Extraction solution, you went to some conference and you had 15 potential prospects relating to kind of like what John Hancock publicity you got from that. Is that something you’re working on? Was that a surprise to you at the conference?
Jack Abuhoff: It wasn’t a surprise, I think what we’re doing continues to resonate well, but I think one of the thing we discussed and continue to discuss is things do move slowly. And just because you’re adding new people to the pipeline, doesn’t mean they are going to close real fast. So one of the important things that we’re doing, from a strategy perspective is carefully prioritizing. We’re putting our best resources around the things that we think have the best near term potential, at the same time, we’re cultivating everything else for bringing into the pipeline. But we want to make sure that we keep our eye on the ball here and I think we’re doing a good job in that.
Unidentified Analyst: Also, it was mentioned that last quarter there was $200,000 and work with a European publisher, and you obviously moved ahead on that. You’ve had some ramp up cost, did anything come in from that company in the third quarter?
Jack Abuhoff: There’s – the revenue trickle is still small but we really are looking at that as a 2016 significant ramp up, so we think we’re in good shape there, the clients is and the number of delays and inside which are largely being have been worked through and we’re going to start getting revenue relief, I think in the fourth quarter and then that will continue into 2016.
Unidentified Analyst: That’s good. That’s part of your revenue numbers of your guidance?
Jack Abuhoff: Yeah, we’re baking everything in, doing the best to make guestimates in terms of timing as we can of course and trying to be able to be conservative.
Unidentified Analyst: How are you coming with Pearson learning and the new Xenon products, anything there?
Jack Abuhoff: I think – Pearson – better to talk generically about the product, I think Xenon has promised. We’re addressing what is – new market associations and trade and professional associations and what we’re bringing to them is pretty compelling. We’re – they had strong memberships for many, many decades, but with new ways of people collaborating, new social platforms, Facebooks and LinkedIns of the world, those threaten really the value proposition that association brings. So what we’re bringing them with Xenon is an ability to get a lot closer to their customers rather than sending out all their publications and print and mail or whatnot. They can use our platform which is an Apple like bookshelf like platform to distribute that. And when they get in the back end is the ability to really understand their customers and understand how the customers are using the content to enable them to communicate with each other and share concepts and ideas to figure out what’s resonating to be able to make recommendation to you. If you like this, you should also like that. They’re seeing it as a potentially strategic important play for them to stay relevant, stay close to their customer base, and that’s exciting.
Unidentified Analyst: How do you see Content Services coming in on the fourth quarter? Is that continuing to be steady, different languages different publishers that kind of thing?
Jack Abuhoff: I think you heard O’Neill’s guidance there for – revenue 13.4 to 13.7 so it looks steady from a revenue perspective. Now of course, strategically we know that there are projects in Content Services and there’s – little bit, that’s why we are making all the investments we are making on things that are SaaS based solutions that bring us recurring revenue and good solid forward visibility. But Content Services is a great business, we’ve got a great client base there that values what we do and it continues to be a strategically important element of what we’re doing as well.
Unidentified Analyst: And you’re moving ahead with that venture capital firm in Content Services?
Jack Abuhoff: I’m sorry, I’m not sure what you’re referring to.
Unidentified Analyst: I think last quarter you said you had a new client Content Services there a venture capital firm.
Jack Abuhoff: Oh, okay, they are not a venture capital firm themselves they are an information provider, but they are venture capital financed. And I mentioned that just to make sure that I communicated that it was a very important contract for us, valued at $4.8 million as a project but it is with an early stage company whose venture at this point.
Unidentified Analyst: Well, thank you, Jack.
Jack Abuhoff: Thanks very much, Ed.
Operator: And our next question comes from George Melas with MKH Management.
George Melas: Hi, good morning Jack and O’Neill and – congratulations…
Jack Abuhoff: Good morning, George.
George Melas: Hoping the inflexion point. O’Neill, could you try and help us understand currency impact on the sequential profit improvement in your quarter?
O’Neil Nalavadi: Right. George, the way we model and the way we take hedges, the fundamental objective of taking hedges is to provide predictability in the future results. So invariably the way you should look at the hedges is, if there’s change in the exchange rate, we either gain or lose on the growth margin level but the hedges play a comprising roles, they mitigate the impact. So, if the gain on the currency and it improves our gross margin, then to the extent that we have hedges, we may lose on the hedges during the quarter. So, essentially we’ll see predictability and what we’re trying to do is run our content business in the way that we achieve between 30% to 35% in gross margin and that range is fundamentally because of operating leverage and the target for IADS business is somewhere between 35% to 40%. Does that help?
George Melas: It helps a little bit, you helped me with the mechanics of that, but in terms of precisely in this quarter on the sequential basis, I think what you are saying and I think you mentioned the currency changes, roughly the change in the dollar versus some of your key currencies was fairly modest. So the impact and on the gross profit and also on as mitigated by the hedges was relatively modest, is that a fair way to look at it?
O’Neil Nalavadi: That’s right, and what we do is we track specifically the impact of the hedges during the quarter, that gives us a sense of the division that is taking place because of exchange. And during the quarter, we had $300,000 gain because of revaluations which is a combination of both the hedging games, plus the current assets when they get translated. That make sense?
George Melas: Okay. That 300 gain does it flow through the P&L or…
O’Neil Nalavadi: Yes, that’s right. And normally that happens at the gross margin level.
George Melas: Okay. And was there something then from the hedge perspective that mitigated that 300 or is that a net number?
O’Neil Nalavadi: That is actually the gain attributable to the hedges. So the exchange would be about the other way, so net impact on the P&L would be neutral. May be I can sit offline with you and tell you exactly how it works.
George Melas: Okay, great. I would appreciate that. I’m kind of slow on these things. Okay. Jack, that contract of 4.8 million contract that you were discussing with your previous caller, I think you said you started to recognize somewhere in September quarter, is that right?
Jack Abuhoff: I don’t think so, I think we got through project planning and we initiated the project but I don’t think there’s any revenue in the quarter.
George Melas: Okay, great. And do you expect some revenue then to be recognized in the December quarter then?
Jack Abuhoff: We do, that’s right.
George Melas: Okay, great. And just the large European publisher, I think you mentioned 4 million and 8 million, I think 8 million is the run rate at the end of 2017. How do you expect it to ramp in 2016?
Jack Abuhoff: I don’t have a number for you on that right now George. I think we did say that was – that we expect to be a – 4 million annualized by the end of the year and for wrap up to continue through ‘16 and ‘17 to what is now an $8 million target. I do not have handy a number for what that will be in ‘16.
George Melas: But the 4 million run rate that’s by the end of 2015?
Jack Abuhoff: That’s our target.
George Melas: Okay, okay. And at that level, would you still have costs in excess of revenue or does it reach that –does the two lines cross and it gets to breakeven?
Jack Abuhoff: There are a lot of moving pieces there, in terms of teams that we still have training and then also learning curves after they start producing, there’s some learning curve. On top of that, there are integration costs and some systems build related costs that are in there, I think again I’ll have to defer your question on that. But if we’re going to drill down more in that, we certainly can.
George Melas: And then I have just one final question, you mentioned that large life insurer was very happy with the test or the pilots that you guys did, so they have moved the process to the RFP. How many people would be bidding on this RFP and how many are these bidders really are your sort of automated capabilities?
Jack Abuhoff: They don’t tell us how many are bidding, but we end up getting the sense of it, my sense is that there’s probably about somewhere in the area of handful of players that are bidding. Based on what we hear from customers, there aren’t any other competitors who have our capabilities and strength of digital data. And that is a competitive advantage that we enjoy.
George Melas: So in a way are they doing a pilot first and then moving to the RFP as a way to sort of test your capability and then be able to write the RFPs around what you can do?
Jack Abuhoff: I think that that at the risk of sending – I think that may be right, I think they are very intrigued by what we can do, but they are purchasing and very pleased with what they see, but their procurement departments have policies and a lot of time that policies before they make an important strategic commitment or a big dollar commitment they are going to test the market and make sure that assessment has been appropriate. So we expect that to recur has it has occurred but just now as we discussed just today we have prevailed on a major RFP, very, very large company one of the largest and we expect that we would likely be the case with the other one that you are referring to. We’re hopeful, we’ll knock on as they say.
George Melas: Okay, we’ll knock on as well here right now. And then just one final question on Media Intelligence, you are assigning a lot of new customers, the revenue is not ramping up very quickly, is it because – are those fairly small customers that you are signing up or you talked about the churn being sort of normal and retention being 90% which is slightly higher in this quarter or may be the previous one?
Jack Abuhoff: There was a little bit of elaboration in the last quarter in terms of couple of clients that consolidated so nobody left us, but one company bought another company and then there’s a little short term revenue impact, but there’s also larger company, we’re pursuing there. I think the marketing now is several months old, but what’s really encouraging there is like we said last quarter we hit record levels of lead-gen and demos last quarter and now we’ve doubled those to create new records. That needs to work through the system probably we just call it a six month sale cycle, that’s probably about right. And I think we’re going to start to see the revenue uplift on that as we go forward.
O’Neil Nalavadi: And George, just to add a little more color to what Jack said, so that you guys understand how the business works. The revenues flow in depending also on the timing of the client signings. So when a client signs on during the quarter, depending on when they sign on during the quarter, the revenues normally would be, you’ll see the benefit in the following quarter. And then there is about approximately 20% of the revenues which is special analysis reports that the clients ask for. So when they are on our platform, there are different use cases that come up and the clients will ask for special analysis reports, and that is editorial enrichment services that we provide, analysis services. Now that can cause some fluctuations from time to time in the daily news, I think the key metric that investor should look for is the rate at which we are adding customers, because the more customers we are adding and the more we are getting at the top of the funnel, it’s an indication of how the business will eventually grow in scale. But in the short term, be prepared you will not – don’t try to mathematically extrapolate, it has to be nice, beautiful 10% every quarter sequential, that’s unlikely – you will disappoint yourself if you see in that way. But, at this level, over a period of time, as we keep adding the number of customers and it builds up a certain limit of critical mass, yes, that’s what we are targeting to achieve on an annual basis.
George Melas: And then just one final comment, especially for O’Neill and Raj, I think the transparency of the numbers that you provide is remarkable, so I just want to say I really appreciate that.
O’Neil Nalavadi: Thank you, we actually appreciate the feedback. We spend a fair amount of time understanding exactly your needs and our goal is to provide you the information we look at the business so that you can make good decisions.
George Melas: Okay, thank you.
Operator: And next we’ll hear from Madhu Kodali with Yaksha Capital
Madhu Kodali: Hi, thank you. Hi, Jack, how are you?
Jack Abuhoff: Hi, good morning.
Madhu Kodali: Jack, just a recap, three years ago you had a goal of building the company to $100 million plus, and you have been investing into this IADS division and this acquisition with MediaMiser. Just trying to understand where you are in that part and your goals from that point on, is it still the same goal? How you’re going to reach it? What’s your outlook for the next two to three years?
Jack Abuhoff: I think that our goal is obviously to grow the company. That said, we put that goal out there, we’re not successful to reaching it, so what we’re doing is taking longer than we thought that it would. The kind of innovation that we’re engaged in is tough times. I think we learned our lesson from that, so yes our goal is to grow aggressively. Yes, looking forward to hitting and surpassing $100 million mark, but I won’t make the same mistake I made that and arguably by trying to time exactly when it will occur. The important thing I think to for us to focus on is execution and what we’re trying to do is share with you the important leading economic indicators that showed that we’re being successful there. So the number of customers we’re bringing on to MediaMiser, the number of bookings we’re having with Synodex, the projects that we’re closing and the things that we’re doing in content services, I think that will all combine to create growth and I’m feeling good about today and also I’m feeling good about the traction that we’re getting across the businesses.
Madhu Kodali: Right. And in that context, what’s your current sales in terms of number of sales people you have and what is the split or breakdown on how many people are focusing on Content versus IADS at this point?
Jack Abuhoff: Sure, so we keep those separate. We’ve got ourselves a team of five or six people on the Content side, on the Synodex, we’ve got a couple of people who are purely market facing but really all of us are contributing to that. Folks on the product side are very involved with the customers, so it’s a team effort. I think you shouldn’t think about it as how many sales on the street at this point in the business, may be we’ll get there, but right now it’s very much a concerted effort among the entire team to onboard clients.
Madhu Kodali: On the Content side, how much effort is going in from the top management, in terms of developing your business or for example, in the past, you were hoping that you would get some opportunities in the e-book business in international markets, multiple languages and so on. It doesn’t look like the standout is that the opportunity you’re pursuing or is that something you have given up and moving on to the IADS now?
Jack Abuhoff: Now, it has stand out actually. The reason that we continue to have strong e-book revenues is because we successfully expand into to be able to do work in Chinese and Japanese and whole host of European languages and such. And that’s very much continuing, now the challenge in the e-book business is as I said before, once we create an e-book, let’s say we sell that for $150 or something like that to a publisher or to a platform, those copies of that continually. If it’s a best seller, they’re selling millions of copies, arguably, but we’re done. So it’s very much a project based business. We’re executing it well to the extent that we can, we’re doing great work for great companies and we’ve expanded and we’re hitting those other languages, but it’s a pressure based business. And for that reason we’re growing other businesses that have recurring revenue.
Madhu Kodali: What percentage of revenue currently comes from e-book business?
O’Neil Nalavadi: It’s 14%.
Madhu Kodali: 14%. Okay. Thank you. That’s it for me.
Jack Abuhoff: Okay. Thank you.
Operator: And we’ll take a follow up question from Edwin Fowler from NBC Securities.
Unidentified Analyst: Sorry to come back, I’ve been listening very intensely here, and just want to – it’s not the right word but get a little color on this IADS life insurance underwriting and you have clients right now. Could you give us a little idea as to – I know they’ve taken a long time, but how many policies has IADS done for all of your five clients so that I have a reference in the future as to – the number of policies and where do you see it in 2016 from 2015?
Jack Abuhoff: First Ed, you’re always welcome back in the line, in the queue, so no need to apologize for that. In terms of policies, we don’t measure it that way for a couple of reasons, one is that we don’t work on policies. What we’re working on is certain evidence you used to make an underwriting decision forward application. So policies will be the wrong way to track it, I think the best way to track it really is in terms of our bookings. I don’t see more useful number what we’re getting awarded and what we’re bringing to the table in terms of bookings.
Unidentified Analyst: And last quarter, word disability was mentioned, the disability policy, is that something you’re focusing on rather than life insurance only?
Jack Abuhoff: Well, no we’re primarily focused on life underwriting now but we do see an interesting market opportunity in disability and may be also in property and casualty. We’ve had meetings on that, where we’re working with a couple of clients and kind of modeling that. But that has often a priority, we’ve got a – we don’t have a huge team here, of product development folks and we’ve had very much focused on John Hancock launch and workflow for it. The disability product in case will take priority right after that.
Unidentified Analyst: And where do you see DocGen coming in with your two products there? You keep talking about the regulations going in and certainly, the big banks are probably looking to get more data to stay with the Basel II or III. Is this something that’s going to come quickly or is it going to take couple of years?
Jack Abuhoff: It is a very good question, I would not expect it to come quickly. I think if we repeated that expectation we’d end up being disappointed. How long will it take, it’s hard to say. Now if Basel’s a driver we know that, the requirements will roll in starting September 01, 2016, we’re working with a couple of people who are thinking about that now and we know that there will be a lot of others thinking about it early next year. So, in a business we of course look for drivers like that, we look for factors that will create compelling reason for people not to move quickly and we think this may be one. But it’s a new business for us, we’re talking about fundamental change in large organizations and I don’t think any of us is that obsessed.
Unidentified Analyst: Currently, the derivatives contracts I mean it’s a big market, but how are these banks and underwriters tracking the derivatives now in the form of digitization etcetera, etcetera?
Jack Abuhoff: So what we see now is – they maintain images, in a image repository and the problem with that is when they need to know the data from a contract they need to pull up the image, they need a lawyer or team of lawyers to go through it, pull out data points. Sometimes they proactively do it, sometimes they are having teams of lawyers or paralegals, type things into Excel sheets that they use. But the problem with all of that is that rather a lot of problems, the names of counterparties have changed, collateral comes in and out. The contracts get amended, new derivatives get add on to the contracts, it’s a whole suit and it’s complex and it’s hard to manage. What we do is we simplify that, we enable banks to have immediate access in the current version of any one of these contracts. Now on top of that, what we see in Basel III is they are going to be meeting to report on initial and variation margin requirements on all the non-cleared derivatives and that’s going to create a whole additional burden on top of what I just referred to. Burden in terms of regulatory reporting, but also a burden in terms of how do they manage collateral, how do they make sure even though the regulators are requiring that they maintain more margin in order to de-risk the system, how do they make sure that they are not overdoing it? Because the more liquidity they have in their cash and securities, the more money they can make. So we see that as another reason. And again, the banks that we’re having conversations with, they get it, they are making significant changes to their systems and their processes and to their documentation strategies. So, we’re hoping that we’ll be able to get some traction there.
Unidentified Analyst: Last question, you just mentioned banks, are you talking about one or two or three or five?
Jack Abuhoff: In terms of banks who will be regulated by Basel, regulations are in terms of…
Unidentified Analyst: No, that are looking into your DocGen product?
Jack Abuhoff: Yeah, it’s about a handful of banks and then some hedge funds as well.
Unidentified Analyst: Thank you, Jack.
Jack Abuhoff: Thank you.
Operator: [Operator Instructions]. We have no further questions I queue. I’ll turn the conference back to Jack Abuhoff for any additional or closing remarks.
Jack Abuhoff: Thank you, operator. So, on Synodex we’ve got 6 million of annual contract value that’s been awarded to date. We’re glad to see that. We won a – contested RFP, with what is one of the largest U.S. life insurance companies. In our first year of that partnership, we’re expecting to process that 13% of their potential requirements but we’ll be setting our sights on really delighting them with our product. They’re already delighted but they want to see the proofs of the pudding, delighting them with our products so that we can grow that account further. We launched John Hancock just this past week and all is going very well on that front. I’m hoping that we’ll be making a formal announcement to that launch in the next few weeks. On the Content Services side, revenue was up close to 1.1 million in the quarter based on project load which is always a good thing. In Media Intelligence side, our digital content marketing and lead-gen programs are working well, through a combination of customer acquisition and expansion of services for our existing customers our goal is to achieve a 40% annual growth rate near term. So, stepping back and kind of to sum it all up, we’re encouraged by what’s going on. We feel we are making steady progress on all fronts in Content Services, our historical business and the business that continues to hold much promise. And also in our new IADS businesses and Media Intelligence businesses, these businesses are SaaS based businesses that we expect will be durable, we expect to scale with high gross margin and have predictable performance, all of which will make them truly valuable businesses. So thank you everyone for joining us on today’s call, for your continued support and interest and I’ll look forward to talking to you all soon.
Operator: Ladies and gentlemen, today’s conference is available for replay by dialing 719-457-0820 or 888-203-1112, pass code 7598892. Again the numbers are 719-457-0820 or 888-203-1112, pass code is 7598892. That concludes today’s conference. You may now disconnect.